Operator: Good day, ladies and gentlemen, and welcome to the Quarter One 2013 Orion Marine Group, Inc Earnings Conference Call. My name is Sue, and I’ll be your operator for today. At this time all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions). As a reminder this conference is being recorded for replay purposes. I would now like to turn the call over to Mr. Chris DeAlmeida, Vice President, Finance and Accounting. Please proceed, sir.
Chris DeAlmeida: Good morning and welcome to the Orion Marine Group first quarter 2013 earnings conference call. Joining me today are Mike Pearson, Orion Marine Group’s President and Chief Executive Officer, and Mark Stauffer, our Executive Vice President and Chief Financial Officer. Regarding the format of the call, we’ve allocated about 15 minutes for prepared remarks in which Mike and Mark will highlight our results for the quarter and update our outlook. We will then open up the call for sell-side analyst questions for the remainder of the time. We would ask that you limit your questions to one question and one follow-up before getting back in the queue. During the course of this conference call, we will make projections and other forward-looking statements regarding, among other things, our end markets, revenues, gross profit, gross margin, EBITDA, EBITDA margin, backlog, projects and negotiation and pending awards, as well as our estimates and assumptions regarding our future growth, EBITDA, EBITDA margin, gross margin, administrative expenses and capital expenditures. These statements are predictions that are subject to risks and uncertainties, including those described in our 10-K for 2012, that may cause actual results to differ materially from those statements. Moreover, past performance is not necessarily an indicator of future results. By providing this information, we undertake no obligation to update or revise any projections or forward-looking statements, whether as a result of new developments or otherwise. Also, please note that EBITDA and EBITDA margin are non-GAAP financial measures under the rules of the Securities and Exchange Commission, including Regulation G. Please refer to the reconciliation accompanying this earnings call available on our website, at www.orionmarinegroup.com, for comments on the use of non-GAAP financial measures as well as applicable reconciliations to the most comparable GAAP measures. Also, please refer to our earnings release issued this morning, May 2, 2013 and our quarterly and annual filings with the SEC, which are available on our website, for additional discussions of risk factors that could cause actual results to differ materially from our current expectations. With that I’ll turn the call over to Mike Pearson, President and CEO. Mike?
Mike Pearson: Thank you, Chris, and thanks for joining us this morning. I would like take a moment to thank our nearly 1200 co-workers for their hard work and commitment to the company. Because of their talent and dedication we continue to see solid results in challenging market conditions. Now our first quarter results reflect a solid year-over-year increase in revenue and EBITDA and we are pleased with year-over-year improvement. As expected, we had gaps between certain projects that resulted in decrease in utilization of dredging assets during the first quarter. However, we continue to see strong utilization of our non- dredging assets, which we expect will continue throughout 2013. This factor combined with solid project execution, resulted in sustained improvement in gross margins and positive EBITDA margins for the third consecutive quarter. As we look ahead, we remain encouraged with our long-term end-market drivers, we are confident in our long-term outlook. Today we are tracking $6.5 billion worth of opportunities over the next years, of which, 17% are federal projects, 34% are state, 23% are local and 26% are in the private sector. As we have seen over the past several quarters, strong demand from private sectors continues for infrastructure improvement, replacements in new bills from multiple types of clients including the energy-related companies and private terminal operators. Additionally we expect to continue to see multiple opportunities from state governments related to transportation spending and environmental restoration and repairs. Now today we’re working and bidding on several bridge projects and we remain optimistic about bridge related opportunities in 2013 and beyond. Also, we expect to see an increase in environmental restoration and repair related to the RESTORE Act over the long-term. Fines related to this RESTORE Act should be set by the end of 2013 and we expect to begin to see bid opportunities at some point in 2014. Supplement Hurricane Sandy funding may also indirectly benefit the company, as industry capacity is deployed to the regions that are hard hit by the storm and as projects are identified and let for bid. We anticipate restoration work related to Sandy could be a multi-year event. With Army Corps of Engineers’ funding now secured for the remainder of the federal fiscal year we are hopeful for more predictable pace of lettings from the core. If the core districts are able to fully execute their published letting plans for the current fiscal year, we should see an improvement in the amount of bid opportunities over the coming months. The budget proposal that was recently released by the White House for the Federal Government’s fiscal year 2014 was also very encouraging. For the cores districts within our operating regions, the President’s proposal calls for a 9% increase in operations and maintenance funding. Now, while this budget proposal is a long way been enacted it is encouraging. We’re also personally tracking developments related to the Water Resources Development Act of 2013 which was passed by the Senate Environmental and Public Works Committee in early April. The legislation would authorize but not fund, the Army Corps of Engineers to construct projects, to restore, develop and protect the nations various waterways. The Senate is expected to act on the bills sometime before the August reassess. Now this word of legislation also includes language it’s similar to the RAMP Act to correct the funding gap that exist between the Harbor Maintenance Trust Fund, Receipts and Expenditures for dredging projects. We believe there is growing intention being focused on the continued lack of maintenance of the nation’s waterways. Additionally, we expect to continue to see the benefits of increased import infrastructure spending during 2013 as the United States continues to see increase in exports and imports. According to the most recent data from the US Census Bureau the first two months of 2013 saw exports increased by 2.8%, US Census Bureau the first two months – I’m sorry – 2.8% in imports increased by 1% as compared to the same period a year ago. There is no doubt; we’re still facing challenges particularly with dredge-utilization. However, we have demonstrated with the right mix in volume of work, profitable results are achievable. Our specialized workforce fleet equipment and market fundamentals, give us confidence that we can find success in today’s market conditions. We are pleased with our end market drivers and we believe significant opportunities for continued growth exist. Over the past couple of years, we’ve gained valuable experience in operating in this tough environment. And we know what it takes to succeed. Our plan is working and we are seeing benefits from the altered pricing strategy that we previously implemented. We are eager to see sustained profitable results and get back to the profits that we enjoyed a few years ago now while we’re not there yet. We’re on the right path and hope to see better days ahead. With that, I’ll turn the call over to Mark Stauffer to discuss our financial results in more detail. Mark?
Mark Stauffer: Thanks, Mike, and thank you for joining us today. For the first quarter 2013 we reported a new loss of $1.1 million or $0.04 per diluted share, which compares with the net loss of $6.3 million or $0.23 per diluted share in the prior year period. Our first quarter contract revenue increased 48% year-over-year to $75.1 million. Of which, 58% was generated from federal, state and local government agencies and 42% from the private sector. This compares to 62% from federal, state and local government agencies and 38% from the private sector in the prior year period. During the first quarter, we bid on approximately $340 million worth of opportunities and were successful on approximately $41 million. The 12% win-rate achieve during the first quarter was down from previous quarters as we attempted to push bid margins higher on certain opportunities, which was met with limited success. Had we’ve been successful our win-rate would have been more in line with previous quarters. As of March 31st, 2013, we had a backlog of work under contract of $150.4 million, of which 17% is for federal government projects, 17% is for state projects, 16% is for local projects and 50% is in the private sector. We remind investors that the timing of awards can affect quarter end backlog. I would also like to point out that we are comfortable with our current backlog level. As we noted in our release this morning, we currently have $280 million worth of bids outstanding, including approximately $117 million, of which – of work on which we are the apparent low bidder. As we expected in the first quarter, dredge utilization fell, which affected our bottom line results. However, we were able to execute a high enough volume of work including some dredging to achieve positive gross margin and EBITDA as we continue to execute on a larger volume of work to offset lower job margins. Turning to the balance sheet, during the first quarter, we maintained a solid cash position and ended the quarter with approximately $46 million in cash. During the quarter we paid off the outstanding balance on our revolver which leaves us with current debt at the end of the quarter of $9.1 million and access to $34 million under our revolving line of credit. Also we have extended the maturity of our credit agreement with our lender for one year to June 30th, 2014. Our bonding program remains solid and is more than adequate to support our bid activities. We continue to enjoy an excellent relationship with both our lender and surety. Overall, we are pleased with and remain focused on maintaining a strong balance sheet. We are cautiously optimistic that marketing conditions will improve, as we move through 2013. With the private sector remaining a strong source of bid opportunities and relative stability in federal funding for the next five months, the potential for equipment utilization improvement exists. We will remain focused on project execution and positioning ourselves to taking advantage of a return to more normal market conditions. There are positive long-term momentum drivers occurring that give us confidence about the future. We believe our specialized fleet, workforce and support facilities position us to be a leader in the market. The maintenance and improvement of our waterways infrastructure is far too important to the health of our economy to be neglected. We believe that pent-up demand for our services exists in all of our operating regions and that we are well positioned to take advantage of this demand. With that, I’ll turn the call back over to Chris to begin the Q&A portion of the call.
Chris DeAlmeida: Thank you, Mark and Mike. We would now like to open up the call for questions. Sue, would you please review the procedures for placing a question?
Operator: Thank you. (Operator Instructions). Your first question comes from the line of Trey Grooms of Stephens. Please proceed.
Trey Grooms – Stephens: Hey. Good morning, guys.
Mike Pearson: Good morning, Trey.
Trey Grooms – Stephens: Okay. So, in the first quarter, trying to focus on the higher margin work, trying to bump up pricing, you said that it was met with limited success. It impacted your win rate, obviously. But since then, your win rate has obviously moved up dramatically. How has your bidding strategy changed since the first quarter? And how do we think about and what does that mean for margins? And how do we balance out kind of any adjustments you’ve made from a bidding standpoint and then, also, just with the higher utilization rates that would come with this more work here?
Mark Stauffer: Well, I think, just to put it in context, we pushed some bid margins in Q1. And, of course, the win rate in awarded work – that affects the timing of that work – award of work affects the win rate in any particular quarter. So that’s kind of point one. I guess the way I would answer, Trey, is that we feel comfortable with the margins on the work that we’re getting. It’s just they’re in line with what we’ve been reporting out. Clearly, I mean, we don’t give guidance, but I think it’s fair to say that some of the work that we went after that we didn’t get where we’re trying to push it, I think the takeaway from that is, is kind of like we’ve said before the pricing is stable, its not deteriorated. We are constantly proving to see if we can improve bid margin. But I think the work that you referred to that we’ve talked about, the amount of work that we have in low bid is consistent with the type of margins that we bid at to build the backlog over the last 18 months or so. Again it’s consistent but it we’ll still look for opportunities to try to push that when we think its prudent to do so.
Trey Grooms – Stephens: So bid margins are not really much different in the current backlog or in what you are currently low bidder on, correct?
Mark Stauffer: Correct.
Trey Grooms – Stephens: The margin enhancement I guess we could anticipate coming from higher utilization rates?
Mark Stauffer: Correct.
Trey Grooms – Stephens: Okay. Perfect. And then my follow-up with that is you know, the utilization on dredging decrease in the first quarter you mentioned on the construction side Mike, the things were better utilization there and you continue to think that was going to remain that way for a while and continue to improve. I guess what is the kind of – with this low bid work you’ve got out there now what does that mean for the utilization on the dredging fleet which looks to be the – having the biggest drag I guess with the low utilization area? I guess, what’s the mix of work there are on the low bid and will that improve your dredging utilization?
Mark Stauffer: Well, as you know we don’t give a specific utilization just due to competitive reason.
Trey Grooms – Stephens: Yes. I’m not letting for a specific number, just directionally?
Mark Stauffer: I think in general dredge utilization in the first quarter of this year compared similar to what we had in the third quarter of last year and our marine fleet continues to be very well utilized and we expect that to continue throughout the year.
Mike Pearson: And I guess just follow-up there Trey is, we do have and what we have in low bidder? We do have a good mix of work. It will involve utilization of the dredges. So depending on the timing of that in any one quarter or several quarters it will impact the utilization of the dredge fleet. So there is a mix. Some of the works that we are low bid on is turn key type work that we’ll utilize both basically all facets of our services and equipment. So we would look for regulization to improve based on some of the orders we have in backlog.
Trey Grooms – Stephens: Okay. Great. That’s all I had. Actually I’ll jump back in queue. Thanks.
Mike Pearson: Thanks.
Operator: Thank you. Your next question comes from the line of Min Cho of FBR. Please proceed.
Min Cho – FBR: Great. Good morning and congratulations on a very good quarter despite the dredging. There’s a couple of questions here, Mike when you talked about the $6.5 billion of opportunities that you are tracking over the next couple of years. The percentage by sector changed pretty dramatically since you reported that information in the fourth quarter. It looks like states up a lot higher, private down a little; can you just talk about what’s kind of led to that change?
Mike Pearson: Well I think you know the biggest driver in the market right now is a private sector. We’re seeing a more private opportunities than in most normal years where its kind of equally distributed and I think that’s going to continue throughout this year and we indicated that the wind power 6.5 billion I think had about 26% private overall, so that’s kind of bunched up into this year. It’s really, we’re pretty excited about the opportunities in that sector and federal is about 22%. So that just kind of reflects the normal funding of the core that we’re tracking. We don’t really have anything throughout – for RESTORE Act, we’re waiting to see what’s going to resolve from that and that will add to our market. So, there is lot of pin up demand I think coming with the RESTORE Act that we can’t quantify it right now.
Mark Stauffer: Yeah and I would say Min Cho that that’s a very dynamic – our tracking list is very dynamic, it has lot of stuff coming on that and there is stuff going off at any one time, so that is going to move around from period to period and I think that’s you know I wouldn’t read anymore into that. As Mark said, in Canada the near term picture there’s a lot of private sector opportunities. But when we take a look at their overall 6.5 billion that goes out over several years, so a lot of the private sector opportunities we’re seeing are sort of fun end loaded if you will in our tracking system, so, but as others nod I mean I wouldn’t read too much into that. And in terms of the fluctuation I think it’s just a dynamic list.
Min Cho – FBR: Okay. And that actually makes sense. Thank you. I think you talked a little bit about your western construction acquisitions, the opportunity you are seeing in Alaska and some of the other term markets that I brought to you and how the acquisition, integration is all pending out?
Mark Stauffer: Yeah, well, the integration is going well. We picked up some backlog as you know, when we made the acquisition we’re progressing with integration. I think anybody that’s ever done any kind of M&A knows that things don’t always go perfectly. But I think this one has gone about as smooth as integration can go. We’ve got a good group of people up there and we’ve identified a lot of opportunities in that market. We’re bidding on work. We’re starting to be successful of getting some work in backlog through our group up there. And we’re looking to continue to focus on leveraging some of our relationships that we already enjoy with private sector, particularly in the Gulf Coast in that market up there. There’s a lot of cross-polarization, if you will, in terms of customers. So we’re very encouraged by what we see, so far and look to continue to build on that.
Min Cho – FBR: Okay. And your balance sheet remains strong, can you talk about your kind of acquisition pipeline if we could, I know its very opportunistic, but could we see something later this year. Or are you going to focus on what you have and just kind of increasing utilization here?
Mark Stauffer: Well, our acquisitions is an ongoing part of our business, we’re always looking for opportunities. We continue to grow the company organic, Greenfield and M&A. We’re just going to remain opportunistic. As came along last year we caught at the right time and if another opportunity presented itself that met our criteria, I think we’d certainly jump on it. But its ongoing, you can never can pin down on a certain quarter, one year from now or nine months from now we’re going to do a deal, it doesn’t work like that. It takes time to nurture an acquisition.
Mike Pearson: Just following on that I think as we’ve said in the past, in this current environment I mean, we’ll definitely be practical in this environment. I mean, we’re looking, we’re keeping our finger on the pulse. But definitely be practical in kind of the current environment when we look at these things.
Min Cho – FBR: Okay. And just finally in terms of your bidding strategy. I understand that the win rate this quarter was a little bit late because you’re trying to increase pricing in certain markets. But in general are you seeing an increase in acceptance of price increases. I know you’ve tried and it brings down your backlog for the quarters that you’re kind of trying it. But just in general are you starting to see a little bit of a pick up there?
Mike Pearson: Well, in some areas yes, in other areas no. And I think I said this on the last call is, it feels like pricing should be better than it is. It seems like – it seems like with the activity. Now like for us and others utilization, I think our sense is, our opinion is there is just a lot of skittishness I guess, in general out there in the market place to really get too bullish on pricing. Having said that though, you know, our past – we said this last time, there are pockets of pricing improvement and – but it does seem like we’re positioned for a, just a more broad based improvement, but when that turn comes that’s hard to pin tell now. But it just seems like we’re on the verge of that, not sure when that comes, if that comes this year or later this year its possible, it may come a little bit later than that, but it just it feels like we’re kind of on the verge of that.
Min Cho – FBR: Yeah, all right, great. That’s it from me. Thank you.
Mike Pearson: Thank you.
Operator: Thank you. Your next question comes from the line of Jon Tanwanteng of CJS Securities. Please proceed.
Mike Pearson: Jon?
Mark Stauffer: Maybe on mute. Sue, just want to move to next caller, maybe Jon can jump back in.
Operator: Yes. I’ll move to the next one. Your next question comes from the line of Rich Wesolowski of Sidoti & Co. Please go ahead. You’re live in the call.
Rich Wesolowski – Sidoti & Company: Can you hear me?
Mike Pearson: Yes.
Rich Wesolowski – Sidoti & Company: Okay. I was just making sure I wasn’t going the same way as the last caller. I just have one question in that – from my understanding at least a few months ago your larger class of dredges generally speaking was better utilized than some of the smaller ones. I am wondering if that’s still the case and if its so, can you give us an idea of the timing of the projects that the larger ones are on. Is there a risk that we see a low even the ones that are more strongly utilized within your fleet within the next few quarters?
Mike Pearson: I think we feel pretty good about our bigger dredges continuing to stay heavier utilized than the small dredges. There is just a lot of demand for that size the 24 inch size. There is been kind of slowdown in Intracoastal Waterways dredging, strictly due to core funding constraints, and the activity in the core has just been real slow. Like we only saw there three bids in the first quarter, which is very low. But our focus has been on addressing dredging needs around the ship channels, near the docks, working with private clients and we’ve been able to keep the big dredges busy. We also have some big projects that we’re working on like the La Quinta channel is one of our biggest projects that engage several assets. But there hadn’t been any real change there, it’s just kind of hit and miss when the lettings come out, we’re expecting that in the second half of the year, the course is going to get back to their program of letting out contracts now that they get the funding for the balance of the fiscal year. We looked at 2014 dredging for the cores budget, its going up 9% increase, which should be a good sign. But still same old same – I guess, poor funding, it’s all short-term visibility.
Rich Wesolowski – Sidoti & Company: Right. Given the outsize utilization for your larger dredges versus the smaller ones and from what I gather, larger still of competitors versus the limit of what you have, will the company consider ever building a larger dredge perhaps as oppose to an acquisition, of course, not in the immediate term but looking little further out?
Mike Pearson: Well, I mean, certainly that could be a possibility. I think, right now we feel like we don’t need to be building any more dredges until we get a better handle on what the long-term dredge in markets going to be, for federals been in it in particular. And we noted that there has been a downtick in activity with some of the dredge companies that own assets that are bigger than what we have. It looks like that activity level is going down the short-term. But the band is pent up and the dredging needs for this country are tremendous and it’s got to be addressed at some point, and it didn’t look like it’s going to have this year. But Panama Canal has come in the middle of 2015, and there is 18 ports that are yoking to get the big shifts in, there is seven that have said they are ready. There is other’s that are saying, we can’t get ready until the government funds dredging need. So I just feel like there is a lot of pent-up demand and in the mean time we’ve learned how to be profitable in this kind of difficult environment with the federal funding and we are pretty happy with the way our guys have been blending the work in.
Mark Stauffer: Yes, and Rich, just to add to what Mike just said, you know, as far as our smaller dredges go, just historically, they have been highly utilized. I think we are just in a period of time when with the spottiness of some of the letting, the utilization of those dredges have been impact. But those are very good tools for us. Again, historically, they have had high utilization. We can see, depending on how budgets come out and needs get impacted and things of that nature that we would expect there will be times when we get back to higher utilization with those dredges. So, you know, that’s kind of one point. And the other point is, you know, we’ve talked about this in the past, we want to – we will certainly always consider your options and certainly building bigger is one option, but we want to also be very, very careful to analyze industry capacity, not only ours, but industry capacity in terms of – before we go out and add. So you got a lot of things to factor in there and one of which maybe if you add certain size capacity, maybe you retire some other capacity. So that’s some thing that we are continually looking at.
Rich Wesolowski – Sidoti & Company: I appreciate your time. Best of luck with the rest of the year.
Mark Stauffer: Thanks.
Operator: Thank you. Your next question comes from the line of Jon Tanwanteng of CJS Securities. Please proceed.
Arnie Ursaner – CJS Securities: Hi. Good morning. Can you hear me now?
Mark Stauffer: Yes, we can.
Arnie Ursaner – CJS Securities: Okay. So this is Arnie Ursaner backing up Jon on the call. My first question relates to the fleet that you have. Can you remind us how much of it is non-dredging versus dredging and the margin differential between the two?
Mark Stauffer: We got 10 large dredges, about the same number of smaller dredges. You know in terms of just number of pieces of equipment, we’ve got far more pieces of equipment that are non-dredging assets. You know in terms of value, the dredging assets are probably somewhere to a quarter to a half of our asset value. So, you know, those – in terms of margins, we’re not getting very specific. As you know, we don’t get too specific there for competitive reasons. But projects that we’re involved with typically do have margins that are higher than just pure construction projects that are going to have a higher material component or higher subcontracts, which we do some – we do have some subcontracting. So the projects that utilize our dredging assets are typically going to have a higher margin on the project.
Arnie Ursaner – CJS Securities: Okay. Two more quick ones. In your mix of business, you had much greater percentage from private. Can you comment on how much of that work has a construction and dredging component, and are you seeing more land-based competition for that type of work?
Mike Pearson: We’re not seeing more land-based competition. This is more the traditional marine contractors. One thing that we’re pleased about is we have the turnkey capability to provide a client all the services he needs to do a marine project – the engineering, the construction, the dredging, the diving, the whole nine yards. And that’s a very important thing in the private sector where you can go to one contractor and get everything accomplished and meet the future end date. And I think that’s been a big factor of our success. And we continue to pursue those type of opportunities.
Mark Stauffer: Yeah. And, Arnie, I would say that a lot of the work that we’ve been working on in the private sector is – some of it has been utilizing all the suite of services. And as I’ve said earlier, several of the projects that we are – have in low bid are the same way. They are turnkey projects that would utilize all suite of services and so that means a cross-section of our assets, including the dredging assets.
Arnie Ursaner – CJS Securities: Perfect reason for my final question. Your win rate in Q1 was 12%, $41 million out of $340 million, but yet your apparent low bid rate is 117 out of 280 or a 41% win rate. And yet, I think, you indicated you’re not really shifting gears very much on margin. Is the key reason you’re winning a lot more your turnkey capability?
Mark Stauffer: Well, that’s part of it. Arnie, the other part is just that it really is timing. We mentioned that in the remarks, but a lot of it is the timing because as you know we do not count things in backlog until they’re under contract. And for a variety of reasons, there can be a gap in time between being the apparent low bidder and getting the award in terms of the government sector and getting a signed contract in terms of the private sector. So we do feel confident about the number we provided, as we always do, in terms of what we have in low bid and we do fully expect all of that to be awarded income under contract. But the timing of that is going to affect the – when we book that and when we get it in our backlog.
Arnie Ursaner – CJS Securities: Thanks for taking my questions.
Mike Pearson: You bet.
Operator: Thank you. Your next question comes from the line of Jack Kasprzak of BB&T. Please proceed.
Jack Kasprzak – BB&T: Thanks. Good morning guys.
Mike Pearson: Good morning, Jack.
Jack Kasprzak – BB&T: Along those same lines just on the 117 of apparent low bids, just – do you think in terms of timing those projects can be awarded and start – you will start to work on them and as early as here in Q2 or is it pushed maybe out into the second half of the year?
Mike Pearson: I think the bulk would be in the second half, but there certainly – we would expect that there could be some impact in Q2, again depending the timing of getting them awarded and under contract. But I think we should see – we could see some impact to Q2, but definite impact to the back half of the year.
Jack Kasprzak – BB&T: Okay. Second question is, the State of Texas is probably the best economy in – among the 50 US states right now. It’s your backyard, obviously being based there. Texas DOT is going to let 9 billion of work this year. Port of Houston is going to spend tens of billions over the next five years on expansion. Could you just talk about whether you’ve seen those opportunities yet or how much you think Texas will be important to you guys, over the next couple or three years?
Mike Pearson: Well, I mean Texas is – particularly Houston is very important. It’s the center of the energy industry and a lot of our private work has been related to the oil and gas business, which is headquartered here. And when Mark talked about leveraging our relationships in the pipeline of West and Alaska and elsewhere that’s what we mean by that. We have clients here in Houston that manages projects all across the world. And it’s very helpful to have our name recognition that where a lot of those will go to contractor. And I don’t know if people appreciate or not but there’s two Gulf coast states both Texas and Louisiana that have already surpassed California in both import and export from trade zone activity that’s huge. And you know the top 10 states that are having free trade zone export activity Louisiana, South Carolina, Florida, Alabama, Mississippi and Texas are just really, really active and those are the environments we’re in. And of the 18 ports that are going to be doing developments over the next five years we’re already serving 13 of those 18 ports. So but Houston in particular is a huge market here.
Jack Kasprzak – BB&T: Yeah, that’s great. Thanks Mike. I appreciate it.
Operator: Thank you for your questions. I would now like to turn the call over to Christopher DeAlmeida for closing remarks.
Chris DeAlmeida: On behalf of Orion Marine Group, we’d like to thank you for taking the time talk to us this morning. And we look forward to speaking with you in the future. Also if you have any follow-up questions, please feel free to give Drew and myself a call. Thanks.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect.